Operator: Good morning and welcome to Addus HomeCare’s first quarter 2023 earnings conference call.  All participants will be in a listen-only mode, and should you need any assistance, please signal a conference specialist by pressing the star key followed by zero.  After today’s presentation, there will be an opportunity to ask questions. To ask a question, you may press star then one on your telephone keypad, and to withdraw your question, please press star then two. Please note that this event is being recorded. I would now like to turn the conference over to Dru Anderson. Please go ahead.
Dru Anderson: Thank you. Good morning and welcome to the Addus HomeCare Corporation’s first quarter 2023 earnings conference call. Today’s call is being recorded. To the extent any non-GAAP financial measure is discussed in today’s call, you will also find a reconciliation of that measure to the most directly comparable financial measure calculated according to GAAP by going to the company’s website and reviewing yesterday’s news release. This conference call may also contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements among others regarding Addus’ expected quarterly and annual financial performance for 2023 or beyond. For this purpose, any statements made during this call that are not statements of historical fact may be deemed to be forward-looking statements. Without limiting the foregoing, discussions of forecasts, estimates, targets, plans, beliefs, expectations and the like are intended to identify forward-looking statements. You are hereby cautioned that these statements may be affected by important factors among others set forth in Addus’ filings with the Securities and Exchange Commission in its first quarter 2023 news release; consequently, actual operations and results may differ materially from the results discussed in the forward-looking statements. The company undertakes no obligation to update any forward-looking statements whether as a result of new information, future events or otherwise. I would now like to turn the call over to the company’s Chairman and Chief Executive Officer, Mr. Dirk Allison. Please go ahead, sir.
Dirk Allison: Thank you Dru. Good morning, and welcome to our 2023 first quarter earnings call. With me today are Brian Poff, our Chief Financial Officer, and Brad Bickham, our President and Chief Operating Officer. As we do on each of our earnings calls, I will begin with a few overall comments and then Brian will discuss first quarter results in more detail. Following our comments, the three of us would be happy to respond to your questions. Before I turn to a discussion of the results, I wanted to take a moment and talk about the recent development that I’m sure is on everyone’s mind. Late last week, the Biden administration’s Health and Human Services Department introduced a proposed rule titled Assuring Access to Medicaid Services. This proposed rule has a stated goal of improving access to services for Medicaid beneficiaries, which we strongly support. As part of this proposed rule, HHS is proposing that state Medicaid agencies provide assurances that a minimum of 80% of Medicaid payments for personal care and similar services be spent on compensation to direct care workers.  While we agree with the goal of broadening coverage, we question the specific approach proposed and the target threshold as there are inherent challenges in setting a one-size-fits-all minimum percentage. This is due to the wide variance in state waiver programs which directly impacts the administrative burden required to provide home and community-based services in individual states. We also believe that many providers, especially small local providers and those operating in states with larger rural populations, may be unable to continued providing care due to the significant administrative burden required to provide quality regulatory compliant home and community-based services.  These challenges, if not properly considered and addressed, may have the opposite effect intended by the proposed rule by inadvertently reducing access to services, particularly those provided by these small providers and in those rural areas where the administrative costs of providing home and community-based services are significantly greater. However, we are encouraged that HHS recognizes both the complexity of implementing any such provision by proposing a four-year time frame before implementation is required and the willingness of HHS to entertain comments regarding both the appropriate minimum percentage and the components to be included in the calculation of any such percentage. We believe it is critical to have a comprehensive discussion about these components and the appropriate calculation if we are to have a meaningful discussion on the merits of the 80% threshold. We welcome the opportunity to comment on the proposed rule and to share our thoughts on the challenges inherent in mandating such a minimal requirement on such a broad basis. Addus HomeCare, along with the entire home and community-based service provider community will be working over the next few weeks with CMS to demonstrate how this proposed rule could be modified to protect caregivers and the vulnerable population of Medicaid beneficiaries by both increasing state reimbursement rates as well as the rates we are able to pay our caregivers. Addus has and will continue to work with CMS and other stakeholders to increase caregiver wages in a manner that allows providers the resources to continue to operate effectively and to provide these needed homecare services. We will continue to update you as this process progresses. Yesterday, we announced our results for the first quarter and we produced another strong financial performance. I’m so proud of the focus the team has on providing quality care to our clients and patients in the home while also allowing us to deliver consistent financial results.  For the first quarter 2023, our total revenue was $251.6 million, an increase of 11% as compared to $226.6 million for the first quarter of 2022. This revenue growth resulted in an adjusted earnings per share of $0.97 as compared to adjusted earnings per share for the first quarter of 2022 of $0.77, an increase of 26%. We also grew our adjusted EBITDA to $26 million, an increase of 16.2%.  During the first quarter of 2023, we continued to see strong cash flow from operations as our state and other payors have continued to pay in a timely manner. This strong cash flow along with conservative management of our balance sheet has allowed us to maintain a net leverage position of less than one times adjusted EBITDA, giving us financial flexibility even as cost of debt has increased. While our goal is to use our financial capacity to acquire strategic operations that align with our overall growth strategy, we will continue to be diligent with the use of our capital. As has been the case over the last few quarters, the overall labor environment continues to improve. During the first quarter of 2023, we experienced improved hiring in our personal care segment with 84 hires per business day, a 9.1% increase over the first quarter of 2022 and an increase from 77 hires per business day in the fourth quarter of 2022. We have also seen our employee starts per business day increase this quarter to the highest level we have seen over the past two years. In addition, our new candidate management tracking system, which we anticipate will be fully implemented by mid-2023, allows us to better engage with potential employees, shortening the time between application and hire, which has been a contributing factor to both our increased hiring and employee starts per business day. This along with the efforts of our operations team has resulted in continued positive momentum in our recruitment and hiring of caregivers. While hiring in our clinical segment has been more challenging that in personal care, we continue to see modest improvements as compared to this time in 2022. While challenges do remain in certain of our clinical markets, we expect this overall positive hiring trend to continue throughout the year. As has been announced by the federal government, the COVID-19 public health emergency will end on May 11, 2023. With the end of the emergency declaration, the enhanced federal Medicaid match that states have been receiving from the federal government is being gradually phased out during 2023. Even with the reduced funding to state Medicaid plans, we believe the majority of states where we operate are in a much stronger position than they were before the pandemic. During the first quarter, the funding we receive from the American Rescue Plan Act, or ARPA has allowed us to continue to offering sign-on and retention bonuses and enhanced wages to current caregivers, depending on the state ARPA program requirements. To date, we have received approximately $25 million, of which we still have $11.7 million remaining to use over the next 12 months. These funds have been helpful with our recruitment and retention efforts to support patient care and should continue to help those efforts in the future as we deploy the remaining funds. As for Illinois, our largest state of operations, on January 1 of this year we received a $0.70 per hour statewide rate increase, as expected. This rate increase covers the minimum wage increase that we saw last July and allows us to raise wages elsewhere in Illinois. On December 20, 2022, the State of Illinois announced an additional increase of $1.26 per hour. Approval by CMS of this increase was somewhat delayed but has now been received by the State and was effective on April 1, 2023. As a result, our Illinois state reimbursement rate is now $26.92 per hour. This increase covers the upcoming July 1, 2023 minimum wage increase in Chicago and allows us to continue to raise wages for all other Illinois employees.  I also want to give a brief update on the recent developments regarding our participation in the New York CDPAP program. On February 1 of this year, the governor of New York issued her budget, which proposed to repeal the current procurement process for fiscal intermediaries who participate in the consumer directed, or CDPAP program and make changes to the managed care program with the goal of minimizing the number of CDPAP providers in the state. The New York state budget was expected to be finalized on April 1, 2023 but the legislature rejected the governor’s proposed budget. As a result, final negotiations on the budget are ongoing. Once the final budget is published, we will be able to refine our growth plans for New York.  As a reminder, we continue to operate as normal with our managed care partners in the New York market with respect to the CDPAP program and have recently resumed accepting CDPAP clients directly from the state program, albeit on a limited basis. As we receive further clarification on the New York CDPAP rates and the publication of their approved state budget, we will evaluate whether to increase new CDPAP commissions as appropriate. Now let me discuss our same store revenue growth for the first quarter of 2023. For our personal care segment exclusive of New York CDPAP and ARPA funds, our same store revenue growth was 11.4% when compared to the first quarter of 2022. Over the past three years, a majority of our same store growth in PCS has come from rate increases from our states due to the disruption caused by the pandemic, which made hourly growth more challenging. However, over the last two quarters, we have started to see a resumption of growth in same store hours per business day. During the first quarter of 2023, we saw same store hours per business day excluding the New York CDPAP grow 5.3% over the same period in 2022, and 1.7% on a sequential quarter basis. This mix of volume and rate growth is consistent with our historical averages prior to the pandemic and is a mix we believe will continue throughout this year. One area of our personal care operation that we have been focused on is the percent of authorized hours served. This metric started decreasing during the early days of the pandemic due to both high hospitalizations of our clients and an increased number of call-offs experienced during the height of COVID. Over the past three months, we have seen gradual improvements in the percentage hours served, which we believe is an important opportunity for growth and is a 2023 focus of our operations team. Turning to our clinical care operation, our home health segment same store revenue grew 13.8% over the same quarter in 2022. This revenue growth was in spite of a 3.6% reduction in admissions as compared to the first quarter of 2022. While we did see lower admissions primarily due to intentionally limiting admissions from non-strategic MA plans, our gross margin improved, as did our mix of episodic volume. As we have seen our non-episodic referral opportunity continue to increase, our managed care team has been working with our Medicare Advantage and commercial payors to adjust our contract rates to a more appropriate level, which will allow us to selectively accept more non-episodic volume going forward. We are seeing early success in these efforts and are continuing negotiations with some of our larger payors. In addition to negotiating rates, our operations team continues to work on improving both case mix and staffing in home health to ensure we maximize the value of the services we provide. We remain excited about our home health operation as it complements our personal care services, particularly where we participate in value-based contracting models.  Our hospice same store revenue increased 2.6% when compared to the first quarter in 2022, with an increase of 1.5% in our average daily census as compared to the first quarter of 2022. Our median length of stay improved to 25 days in the first quarter of 2023 as compared to 20 days for the same period in 2022, but was down slightly from 27 days for the fourth quarter of last year. We believe that hospice volumes will continue to steadily improve, particularly in the second half of 2023 due to the expiration of certain provisions implemented as part of the public health emergency declaration, which is set to end on May 11. Over the past few quarters, we have discussed our strategic focus around potential acquisition opportunities in both personal care services and home health care. With the announcement of the proposed rule from CMS, we are pausing our efforts as relates to acquisitions for personal care services. While we continue to believe strongly in our strategy of pairing home healthcare with personal care, we believe it is prudent to focus on modifying this proposed rule prior to our continuing development efforts in the personal care market. Once we have clarity on any final rule, we will proceed to pursue acquisition opportunities in the PCS space. As for potential home health acquisitions, we believe larger opportunities will be more numerous in the coming months as pending CMS pricing updates and proposals are better understood and as sellers’ pricing expectations rationalize. We will continue to assess acquisition opportunities that reflect our overall growth and value-based care strategy. As for value-based care efforts, we are continuing to see positive results from our various value-based care contracts and hope to have outcomes data to share by the end of the year. We are pleased with the current status of our value-based efforts. We are still in the early stages of having this segment grow into an anticipated status as a significant part of our long term care business; however, we are seeing a great deal of interest from payors wanting to work with our company on these type of arrangements. We continue to invest in strategies and technical resources in 2023 which we believe will give us an opportunity to accelerate our revenue growth in this part of our operation. As I say each quarter, I’m so proud of our team for the care they are providing to our elderly and disabled consumers and patients. There is no question that the majority of clients and patients want to receive care in their home, which remains one of the safest and most cost effective places to receive this care. We believe the heightened awareness of the value of home-based care is favorable for our industry and will be a growth opportunity for our company. We understand and appreciate that our operations and growth are dependent on our dedicated caregivers who work so incredibly hard providing outstanding care and support to our consumers, patients and their families. With that, let me turn the call over to Brian.
Brian Poff: Thank you Dirk, and good morning everyone.  Addus had a strong financial and operating performance for the first quarter, marking a solid start to 2023. Our results reflect ongoing demand for our services, led by 11.4% organic growth in personal care services, and as expected was well above our normal range of 3% to 5%. We saw sequential growth in both clients and hours of service per business day for the second consecutive quarter and benefited from the impact of the first of two state-wide Illinois rate increases, with the first effective on January 1, 2023. With the recent approval from CMS, our second Illinois rate increase was effective on April 1, 2023 and will benefit the second quarter. Revenues for our home health services continue to trend higher, boosted by two acquisitions completed in 2021 and the Apple Home Health acquisition completed in October 2022. For the first quarter, we achieved 13.8% same store revenue growth over the first quarter of last year. We have continued our focus on improving our mix of episodic versus non-episodic cases and have made good progress to date, with overall revenue growth outpacing volumes.  Our hospice business has been slower to recover to pre-pandemic levels, but we saw modest improvement this quarter compared to a year ago. We expect to see further gradual improvement in our hospice business, particularly in the second half of this year. Results for our hospice business include the JourneyCare hospice operations acquired on February 1, 2022.  As Dirk noted, total net service revenues for the first quarter were $251.6 million. The revenue breakdown is as follows: personal care revenues were $190 million or 75.5% of revenue, hospice care revenues were $49.1 million or 19.5% of revenue, and home health revenues were $12.5 million or 5% of revenue. For 2023, we expect to continue to assess acquisition opportunities that meet our criteria and complement our organic growth momentum, and we believe we will have a more favorable market environment later this year as proposed rule changes and reimbursement and program structures are finalized. Most importantly, we are well capitalized to continue to enhance shareholder value. Other financial results for the first quarter of 2023 include the following. Our gross margin percentage was 31.2% as compared with 31% for the first quarter of 2022. Our gross margin percentage in the first quarter was impacted by the annual reset on payroll taxes and our annual merit increases, partially offset by our January 1, 2023 statewide reimbursement raise in Illinois. As previously discussed, we do not expect our gross margin percentage to benefit from the second statewide Illinois rate increase, which became effective on April 1, 2023 as the costs related to this increase will be slightly higher than our normal profile in the state. However, with this second rate increase in Illinois, we do not expect to see a similar negative impact to margins in the back half of the year from the annual Chicago minimum wage cost of living adjustment as we have in the prior two years, as we will adjust our caregiver wages concurrent with the reimbursement increase in April. G&A expense was 22.4% of revenue compared with 23.5% in the first quarter a year ago, but up sequentially from 22.1% in the fourth quarter of 2022 primarily due to the annual reset of payroll taxes and merit increases. Adjusted G&A expense was 20.8%, a decrease from 21.1% in the comparable quarter last year as we continue to see leverage on our G&A profile with our increasing revenue base. The company’s adjusted EBITDA increased to $26 million compared with $22.4 million a year ago, an increase of 16.2%. Adjusted EBITDA margin in the first quarter was 10.4%, an increase of 50 basis points compared with 9.9% for the first quarter of 2022.  Adjusted net income per diluted share was $0.97 compared with $0.77 for the first quarter of 2022, an increase of 26%. The adjusted per-share results for the first quarter of 2023 exclude the following: acquisition and de novo expenses of $0.06, and stock-based compensation expense of $0.13. The adjusted per-share results for the first quarter of 2022 excluded the following: acquisition and de novo expenses of $0.13, and stock-based compensation expense of $0.11.  Our effective tax rate for the first quarter of 2023 was 22%, slightly lower than expected primarily due to the continued strong work opportunity tax credits driven by the higher number of new hires we are experiencing. For calendar 2023, we continue to expect our tax rate to be in the mid 20% range. DSOs were 43.7 days at the end of the first quarter of 2023 compared with 45.1 days at the end of the fourth quarter 2022. We have continued to experience consistent cash collections from most of our payors with our DSO for the Illinois Department of Aging also at 43.7 days.  We continue to have strong cash flows with our first quarter net cash provided by operations of $18.8 million. This was inclusive of a net spending from ARPA funds of $2.3 million. Without this outflow of ARPA funds during the quarter, our cash flows from operations would have been $21.1 million. As of March 31, 2023, we still have approximately $11.7 million in ARPA funds outstanding to be utilized.  As of March 31, 2023, the company had cash of $73.5 million with capacity and availability under our revolver of $395.1 million and $275.7 million respectively.  We have continued to pay down debt in the face of rising interest rates. To date in 2023, we have reduced our revolver balance by an additional $23.5 million with our revolver balance down to $111.4 million as of March 31, 2023. We are fortunate to have a capital structure that supports our operations and growth initiatives. We will continue to diligently manage our net leverage ratio, which is currently well under one times net of cash on hand, and look forward to delivering greater value for our shareholders.  This concludes our prepared comments this morning, and thank you for being with us. I’ll now ask the Operator to please open the line for your questions.
Operator: We will now begin the question and answer session. [Operator instructions] Our first question here will come from Brian Tanquilut with Jefferies. Please go ahead with your question. Your line is open, Mr. Tanquilut.
Brian Tanquilut: Hey, good morning guys. Sorry about that.  I guess Dirk, thanks for giving us all the color and your views on the Washington stuff. But maybe as I think about it, I know you’re very good at lobbying at the state level, but how should we be thinking about the industry’s lobby efforts or ability to deal with this issue at the national level, especially since this is CMS instead of usual state plans. Thanks.
Dirk Allison: Yes Brian, appreciate the question. You know, we have been--in our history, if you think about it, the majority of our lobbying efforts have been statewide recently with our entrance into clinical services. We started doing some more with NOHC, a national organization for healthcare, so there is a Washington presence there. We as a company are talking with others and certainly discussing inside the company with management and our board, reaching out and developing our own lobbying resource in Washington DC, so we hopefully will be able to enlist that very soon and start the work.  Independently of what we’re doing with all the strong associations we have, this particular proposed rule has gathered a lot of interest, as you would expect, so we believe that we will be able to utilize a lot of different associations to lobby at the federal level.
Brian Tanquilut: Got it. I guess Brian, or maybe Dirk as well, Dirk, in your prepared remarks, you talked about kind of pulling back for now on PC acquisitions here, which is fully understandable. But as I think about home health or home nursing, I know obviously [indiscernible] is in the background there as well and the clawback, so just wondering how you view that and maybe should we just assume that between now and when we get clarity into some of these issues, that M&A pace will be slower? Thank you.
Dirk Allison: Well, I think it’d certainly be slower in the PCS market, Brian. Again, we think there’s great opportunity even with this proposed rule. Once we have final clarity, we believe that the PCS market is one that’s going to be ripe for consolidation, honestly. That being said, don’t expect we’re not going to do deals in the home health market just because of the pending issue related to the payment rates and potential clawback. We believe we understand some of that, although anything we did, that would be priced in. We would be talking about that with acquisitions opportunities in home health. Remember, we still have a very strong personal care base. We’re in a number of states with a very large presence, and dropping additional home health revenue on top of that is something that our value-based partners would like to see and it’s something that management is still committed to doing, so we will be active, maybe not quite as much as if PCS was still on the table, but we will be working hard.
Brian Tanquilut: All right, thanks Dirk.
Operator: Our next question will come from Scott Fidel with Stephens. Please go ahead with your question.
Scott Fidel: Hi, thanks. Good morning.  First question, just on the proposed rule. Can you talk about any of your states that may have implemented any of these similar types of gross margin caps and some of the flexibility that they may have allowed for in terms of cost allocations when thinking about expenses that may be included in operating expenses or SG&A, but are allowed to be allocated towards caregiver or gross margin expenses, just when thinking about some of the state policies that theoretically could be adopted by CMS if they do decide to pursue this proposal?
Dirk Allison: Yes Scott, I believe probably the biggest one that we see, and I think it’s referenced in the proposed rule in the footnotes, is the State of Illinois. Illinois is a pretty good model with its requirement that at this point in time has a definition of direct wage expenses that works very well in the state. We’re very comfortable with that, and we think it can be at least a starting point for negotiations as we continue to talk to CMS about what the final rule--if there is a final rule, what that final rule might be.  We’ve operated, as you know, for over 40 years in Illinois and have done a nice job, and so we believe we know how to operate with the percentage. The question becomes two things, as you would expect: what is that percentage threshold, and how detailed is the description of direct wages, so things such as training. The cost of training is very important. Some of the regulatory compliance, EVV, things like that, that directly affect the caregiver and the operation in the field are things that we need to be able to speak to having included in this rule, and that’s something that we will be talking to with CMS about.
Scott Fidel: Understood. A follow-up to this, just one, I guess your thoughts on or expectations around timing in terms of when we could see this final rule eventually come out. Are you thinking later in the year? Then also, I know no company or industry ever wants to suggest having a target gross margin cap, but Dirk, in your opinion, just understanding the economics of the personal care business, what do you think--I mean, is a--if there was a more reasonable cap that CMS were to propose to allow the industry to function in terms of its economic model, is there anything you think that would seem to be a little more appropriate than this 20%? Thanks.
Dirk Allison: Okay, let me start with the timing. Of course, reading the crystal ball, it’s obviously difficult when you’re dealing with the federal government. That being said, right now they have said 60-day comment period. We believe based on just the couple days we’ve been involved with this, there are going to be significant comments from all sectors of healthcare and others, so we believe that depending on how many comments, how extensive those come in, it could take a little time. But we’re expecting--and again, this is just our opinion, probably between October and December of the year, we’ll have a better feel of the final rule. As it relates to an appropriate percentage, let me tell you the difficulty in telling you that. Every state in which we operate is different as far as requirements, regulatory and other issues, and even in some states waiver plans can differ into what is expected, so the problem is if you try to set a national rate, you’re going to have a very difficult time of going to that level that allows the lowest waiver program to continue to operate in an effective manner.  For us, there’s other ways that we believe the goal of increased coverage in Medicaid while paying our caregivers a living wage, we believe there are other ways to reach that goal, so we will continue to work with our lobbyists, with our associations to have discussions along those lines.
Scott Fidel: Okay, great. Thank you.
Operator: Our next question will come from Matt Larew with William Blair. Please go ahead with your question.
Madeline Mollman: Hi, this is Madeline Mollman on for Matt Larew. One question we were wondering is do you see the potential for a similar rule to be implemented in the home health or hospice space, or because they’re more skilled labor with nursing degrees and things like that, are the dynamics just very different?
Dirk Allison: I think the dynamics of home healthcare are somewhat different. You’re dealing with a different level of pay to your clinical employees, but to me, we’re not aware of any time the federal government has attempted to do this. This is why this is so surprising to all of us in the industry. It’s one thing for a state to look at it and negotiate with the providers in the state based on all the rules and regulations and costs related to providing that care, but for Washington DC to decide to do this for all the states certainly is something we see as very, very difficult. I think at this point in time, this is new to us. We haven’t seen it anywhere else in healthcare services. 
Madeline Mollman: Great, thank you.  Then one more from me, just thinking about you mentioned that you’re sort of limiting admissions of non-strategic MIA patients in home health. Can you talk a little bit how payors have responded to that and how your conversations with payors are going related to [indiscernible] different reimbursement?
Brad Bickham: Yes, this is Brad Bickham. It’s actually going pretty well. I think it’s garnered attention from the payors, and those that are some of our larger, more strategic payors and markets have been willing to talk about, at least in the interim, let’s talk about increasing just the per-visit rates, but then let’s talk about and engage in what would an episodic rate look like. We certainly are seeing some progress there, and it has gotten the attention of the payors.
Madeline Mollman: Great, thank you.
Operator: Our next question will come from Ben Hendrix with RBC. Please go ahead with your question.
Ben Hendrix: Hi, thank you. Just a quick question related to the $1.26 update in Illinois that went into effect in April. You mentioned that it wasn’t going to have any impact on gross margin. I’m wondering what costs come along with that $1.26 update that might be unique to that particular raise, and are there any inflation risks going forward related to those costs that may not be captured in future updates? Thanks.
Brian Poff: Ben, this is Brian. I think our comments there around the $1.26, and we kind of mentioned this, I think, on our last quarterly call as well, typically we kind of see a standard normal statewide margin kind of pass through when we give our increases to our caregivers in the state. I think our anticipation with this one, since it was a little bit in advance of required wage increases, which hasn’t really happened in the state over the past few years, I think there’s going to be an opportunity for SEIU to want to have conversations around a few other items in the agreement, so around PTO, mileage, things like that, that haven’t been addressed in some time, and so our expectation is we will see obviously gross margin dollars, but we’re talking about as a percentage, we think this is going to be a little lower percentage profile than we typically get in Illinois, so that’s why we were trying to caution people into thinking there was going to be some margin expansion out of that. We do not anticipate assuming margin expansion from that increase. It is a nice increase - again, second one this year, pretty sizeable. It will give us a nice bump in annual revenue and allows us to give all of our Illinois workers another raise that further differentiates them from minimum wage in the state, which hopefully--again, this proves our point again, it improves access to care. We’ll get more caregivers, we can provide more care in the state with the support from the rate that we’ve gotten from them.
Ben Hendrix: Great, thank you.
Operator: As a reminder, if you have a question, please press star then one to join the queue. Our next question will come from Joanna Gajuk with Bank of America. Please go ahead with your question.
Unknown Analyst: Hi, this is [indiscernible] for Joanna. I just had a quick question about personal care census and seeing how it’s continued to build sequentially. Is it fair to assume that there will be quarter-over-quarter growth or is there some seasonality?
Brian Poff: This is Brian. No, there’s typically not a lot of seasonality - I mean, you might see if it you have a weather event, that’s more talking about a snowstorm or something up in the midwest, so very minimal impact on that kind of seasonal adjusted. But based on our hiring and the trends we’re seeing, we feel pretty good that we should see some nice sequential growth in terms of census and hours.
Unknown Analyst: All right, thank you. Just as a follow-up on census, but for hospice, I see that it was down 4% year-over-year and down 0.6% quarter-over-quarter in Q1. What’s causing the rebound delay, and what’s a reasonable assumption for census year-over-year change in 2023, as well as long term?
Dirk Allison: Yes, I think if you’re looking at kind of long term, getting back to kind of a 3% to 4% census growth, if you put rate increases on top of that, you’re looking at kind of a 5% to 7% kind of long term goal on the hospice front. I think there are certain things that will go away with the public health emergency that should help with our ADC, our average daily census via nursing homes. There were some special rules that we have seen an impact with those rules, where our median length of stay is much lower during the pandemic. We expect that to start to rebound after the end of the PHE, which should help our census growth.
Unknown Analyst: All right, perfect. Thank you.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Dirk Allison for any closing remarks.
Dirk Allison: Thank you Operator. Thank you all for your interest in Addus and for being part of our call today, and we hope you have a great week.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect your lines.